Operator: Thank you for standing by. My name is Kayla, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q3 2024 Piedmont Lithium Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Erin Sanders, Senior Vice President of Corporate Communications and Investor Relations.
Erin Sanders: Thank you, operator, and good morning, everyone. Welcome to Piedmont Lithium’s third quarter 2024 earnings call. Joining us today from Piedmont Lithium are Keith Phillips, President and Chief Executive Officer, who will provide the introduction and corporate and operational updates; Michael White, Chief Financial Officer will then review our financial results; Keith will then provide closing commentary before we transition to a live Q&A session. As a reminder, today’s discussion will contain forward-looking statements relating to future events and expectations that are subject to various assumptions and caveats. Factors that may cause the company’s actual results to differ materially from these statements are included in today’s presentation, earnings release and in our SEC filings. In addition, we have included non-GAAP financial measures in this presentation. Reconciliations to the most directly comparable GAAP financial measures can be found in today’s earnings release and the appendix to today’s slide presentation. Any reference in our discussion today to EBITDA means adjusted EBITDA. Further, references to shipments are shipments of spodumene concentrate and tons are dry metric tons. Please note that copies of our earnings release and presentation, as well as a replay of this call will be available on our website, piedmontlithium.com. With that, I'll turn the call over to Keith Phillips. Keith?
Keith Phillips: Thanks, Erin, and thanks, everybody for joining us today for Piedmont Lithium's third quarter 2024 earnings call. We're going to jump right in today to discuss what has been a successful quarter for us, challenging, but successful. If you've been on our first two calls this year, you've heard our theme of a year of two halves, describing the expected market difference between our first half and second half shipment volumes, capital and investment spending and commercial strategies. And we're happy to report that we met or exceeded our goals in Q3. So the key points we'll discuss on this call are number one, our refined commercial strategy. We were able to execute a record quarter of customer deliveries, while also improving profitability per tonne during the quarter. Our ability to hedge against the futures market resulted in a realized price that was comparatively one of the best in the industry. Part of the strategy, we executed was the important move to consolidate and commingle shipments to reduce transportation costs. Number two, North American Lithium once again achieved quarterly production records, as well as reduced unit operating costs, supporting our successful quarter of deliveries to customers. Lastly, we improved our cash position with a heavy focus on disciplined spending across OpEx, CapEx and investments in affiliates. Now let's move to Slide 4 for a quick project update. North American Lithium is already the largest lithium operation in North America. Again, this quarter, we set new production records and reduced operating costs during the third quarter. I'll talk more about NAL production on the next slide. Sayona also increased the mineral resource estimate, including a significant increase in the mineral resources in the measured and indicated categories in accordance with JORC Code requirements. With the updated MRE, completion of major capital projects and operations at steady state, the joint venture is well-positioned to consider potential brownfield expansions to this asset. Turning to our joint venture project to Ghana, Ewoyaa. Ewoyaa received a TPA permit during Q3 and the mine operating permit in October. These were major regulatory milestones. Meanwhile, the next major requirement in the development timeline is parliamentary ratification of the mining lease. We expect this ratification will occur in the first half of 2025, but the project timeline is also subject to prevailing market conditions. As we noted in our last call, we have engaged a financial advisor to secure funding for our share of Ewoyaa CapEx. There is broad interest from potential parties. However, we are taking our time with this process given current market conditions. At Carolina Lithium, we recently received some very positive news in the form of the final guidance provided by the U.S. Treasury Department regarding the Inflation Reduction Act 45X tax credit. The new guidance supports the application of the 10% manufacturing credit to direct and indirect material costs. We're very pleased with this decision, which should materially improve the after tax economics of U.S. projects like Carolina Lithium. With regard to funding, we continue to engage in discussions with potential strategic partners and to evaluate broader funding strategies. To that point, I'd like to take a moment to clarify the status of our ATVM loan applications where there seems to be some confusion in the market. The Department of Energy's ATVM loan program offers the potential for long-term low cost financing for projects like Carolina Lithium. Certain of our peers have received sizable ATVM commitments and we think Carolina Lithium is ideally suited to capitalize on the program. We have been in discussions with the DOE for several years and had previously submitted ATVM loan applications for both Carolina Lithium and Tennessee Lithium. As we disclosed in our 10-K in February, those applications were both withdrawn in 2023 as we began to reevaluate development priorities and schedules. We are once again in the pre-application process in consultation with the DOE Loan Programs Office and will submit a fresh ATVM application at a future date. Our current focus, however, is ongoing work related to advancing permitting, specifically the air and water permits as we take a measured approach to further approvals and the phased development during the current market downturn. Carolina Lithium is a highly strategic project and important to America's energy national security, but a project of this scale will acquire stronger lithium markets to underpin the best funding profile. On Slide 5, we dive a little more deeply into NAL's operating progress this past quarter. We're very pleased that the project has continued to improve quarterly production volume with more than 52,000 dry metric ton to spodumene concentrate produced in Q3, a 5% increase quarter-over-quarter. Mill utilization also increased to a record 91%, a nice gain from the previous quarter, driven largely by the availability of the crushed ore dome, which was commissioned in Q2. Recoveries held steady at 67%. In parallel, cost per ton decreased 11% quarter-over-quarter or 15% if you exclude the impact of inventory adjustments. We're excited to see that trend. Last, but certainly not least, NAL achieved an incident free safety record in September with no lost time injuries, no modified duty injuries and no medical aid injuries. You can also see on this slide, Sayona’s fiscal year 2025 guidance regarding production sales and operations, all of which look excellent. Now, I'll turn it over to Michael, who will provide a detailed discussion on our Q3 financial performance. Michael?
Michael White: Thanks, Keith. Good morning, everyone. Turning to Slide 7, I will outline our third quarter results. We shipped approximately 31,500 dry metric tons for the quarter, which is more than twice our volume shipped in the previous quarter and recognized $27.7 million in revenue compared to $13.2 million in the previous quarter and $47.1 million in the prior year quarter. Revenue doubled from the previous quarter due to increased volume and declined from the prior year quarter due to lower lithium pricing. Our realized price per metric ton was $878 for the quarter. On an SC6 equivalent basis, our realized price per metric ton equated to $976. We are pleased to achieve these price realizations especially given market conditions. Keith will talk about our successful commercial strategy in more detail in a few moments. Third quarter GAAP net loss was $16.7 million or $0.86 per share and adjusted net loss was $8.1 million or $0.42 on an adjusted per share basis. Included in our GAAP results were $4.6 million in restructuring and impairment charges associated with our 2024 cost savings plan, of which $4.1 million related to impairment for Tennessee Lithium, as we shifted our planned lithium hydroxide capacity to Carolina Lithium and $500,000 related mainly to employee severance and benefit costs. Also included in our GAAP results were realized and unrealized gains on equity security holdings and other transaction costs. We ended the quarter with $64.4 million in cash compared to $59 million in cash at the end of the second quarter. Let's move to Slide 8 for sources and uses of cash. In September 2024, we entered into a working capital credit facility with a partner, which allows us to borrow up to $25 million based on the value of committed volumes of spodumene concentrate that are expected to ship within 12 months from the date of borrowing. Borrowings are credit against the outstanding balance at the time vessels complete loading, which provides additional borrowing availability. Interest is payable quarterly at the rate of SOFR plus 2.4%. This multi-year credit facility resulted in improved liquidity as net proceeds from the credit facility were $18 million during the quarter, which supported our increased cash position compared to the end of the previous quarter. We're pleased to report that cash outflows for investments in and advances to affiliates were only $2 million this quarter, as we succeeded in outperforming our previous guidance of $5 million to $7 million. Investments in Sayona Quebec has significantly reduced since completion of the crushed ore dome in mid-2024 and we have benefited from improved efficiencies at NAL, which have lowered NAL's operating cost structure. Further, we expect minimal spending at Ewoyaa as the focus remains on permitting and finalizing feed. Our capital expenditures of $2 million in the quarter were right on target. Let's move to Slide 9 to review our 2024 cost savings plan. It continues to be critical that we appropriately manage our cost during the down cycle. And while we do not know how long the down cycle will last, we are committed to taking action to rightsizing our cost structure in a thoughtful yet agile manner. We achieved $14 million in annual cash cost savings as part of our 2024 cost savings plan. This is above our $10 million target set at the beginning of the year. We expect to recognize the majority of the savings in 2024 within operating expenses and capital expenditures. This includes actions taken during the fourth quarter to further reduce our workforce by 32%, bringing our total workforce reduction in 2024 to 48%. We recorded $6.7 million in restructuring and impairment charges through September 2024. This includes $2.1 million in cash charges mainly related to employee severance and benefit costs and exit costs and $4.6 million in non-cash charges primarily related to impairment at Tennessee Lithium. We expect to incur approximately $1 million in employee severance and benefits costs in the fourth quarter as a result of our most recent workforce reduction. As part of our 2024 cost savings plan, we are continuing to take a measured approach to joint venture spending and capital expenditures during the down cycle. We've made significant progress in these areas, which we will review as part of our outlook. So let's move forward to Slide 10 to review our fourth quarter and full year expectations. We have adjusted our full year outlook for shipments in 2024 from approximately 126,000 dry metric tons to a range of 102,000 to 116,000 dry metric tons due to a customer request, which shifts one planned Q4 shipment into the first quarter of 2025 and potentially a second shipment from December to January 2025 to allow for our shipment to be combined with a Sayona Quebec shipment therefore reducing transportation costs. Our adjusted fourth quarter outlook for shipments is 41,000 to 55,000 dry metric tons. It's important to note any tons not shipped in the fourth quarter will be accretive to our 2025 offtake, which is a higher of 113,000 tons or 50% of production at NAL. This guidance aligns with the production outlook and customer allocations of tons from our joint venture at North American Lithium. Of course, certain factors including shipping constraints and customer requirements may impact the timing of future shipments. The key takeaway in our CapEx and investments outlook is that project related expenditures are greatly reduced compared to both the first half of 2024 as well as full year 2023. We expect less than $1 million in capital expenditures in the fourth quarter. On a full year basis, CapEx is expected to be $11 million to $12 million. This is heavily reduced compared to CapEx of $57 million in 2023. We expect joint venture investments and advances to be approximately $2 million to $4 million in the fourth quarter and $27 million to $29 million for full year 2024. This compares to $43 million in 2023. As always, our outlook is subject to changes in market conditions. And with that, I'll turn the presentation back over to Keith.
Keith Phillips: Thank you, Michael. I'd like to share some thoughts about pricing and the market, starting with a look at realized prices. Since our call today is at the tail end of this earnings cycle, we have the benefit of being able to compare this quarter's reported realized pricing across the industry on an SC6 equivalent basis. Our second half commercial strategy took advantage of lithium futures markets being in contango to improve our price realizations to an average of $976 a ton, again on an SC6 equivalent basis, which as you can see from this slide was an industry leading price for the quarter. Improved profitability was also the result of our consolidation of shipments with the JV Sayona Quebec, which reduced transportation costs significantly. As Michael noted, we continue to leverage opportunities to streamline the shipping schedule to generate further cost savings. The futures market remains in contango and we will continue to evaluate opportunities to work with our trading company partners to lock in higher prices on specific future shipments, all while working to minimize freight costs by commingle (ph) shipments where possible. As for the lithium market, we're focused on three key trends. First, supply cuts and project delays across the market. As you can see on Slide 13, curtailments and delays are coming from major producers and next gen producers. Lithium prices just aren't at a level to support much greenfield development and I expect that will ultimately lead to lithium shortages in the medium term. Second, demand growth. The EV market continues to experience record sales. There have been seven consecutive months through September 2024 with more than 1 million EVs sold. Sales are up over 23% year-over-year through September and for two consecutive months, August and September, China alone has sold more than a 1 million EVs. Beyond EVs, ESS battery production is also a growing market with production up to 46% year-over-year and strengthening. Lithium demand is growing and we see evidence of the growth in recent pricing reported by fast markets with spodumene concentrate prices up $100 from the trough in September, September 10th to be exact and up $70 in just the past 11 days. The third trend we see is consolidation, M&A, countercyclical investments and the importance of diversification into lithium geographically and access end-to-end markets. That's a very good thing for shareholders in the lithium business. We believe these market trends, cuts in supply, demand growth and consolidation all point in the right direction. We are looking forward to the coming year. With that, I'll turn the call back over to the operator, so we can open up for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Joseph Reagor with ROTH Capital Partners. Your line is open.
Joseph Reagor: Hey, Keith and team. Thanks for taking the questions. I guess, first thing on this potential shipment that could be shifted the second one to Q1. Do you guys have insight on which way that's leaning right now or is it kind of on the fence?
Keith Phillips: Thanks, Joe. I'd say, it's on the fence, but leaning toward a deferral to January. The transport cost savings are pretty significant. We would -- we currently have a shipment scheduled in December. The joint venture has one scheduled in January. By commingle (ph) shipments, we would save probably $1.3 million or $1.4 million (ph) in transport costs. So it's very significant. Jointly, we would say that. So from our perspective, it almost certainly makes sense to save that cash. That's something that will be resolved over the coming days.
Joseph Reagor: Okay. Second thing, you mentioned M&A, given the current market and some of the, let's call them pre-revenue companies struggling, are there opportunities that you guys are seeing out there for you guys to do M&A or is that just something you wanted to highlight as industry related?
Keith Phillips: No. I just wanted to highlight it as an industry theme. I think it's a trend. We've seen this in other commodities over time. This is a, it's a really fast growing business. We're probably in the second or third inning of the lithium boom over the next few decades, I think. And as you've got just a large number of companies, and at the end of the day, I think there'll be consolidation. As a general matter, I think that consolidation will be good for the industry and good for investors. It's just something I think is a theme people should be aware of and thinking about.
Joseph Reagor: Okay. Thanks. Well, congrats on a good quarter, and I'll turn it over.
Keith Phillips: Thank you, Joe.
Operator: And your next question comes from the line of David Deckelbaum with TD Cowen. Your line is open.
David Deckelbaum: Thanks for taking my questions, Keith, and for the details this morning. I was hoping that you could dig in a little bit, just on the outlook over the next few years. I think you clarified the ATVM loan process and highlighted the benefits of 45X at Carolina that improves the economics there. Could you sort of set like a view or a target or goal for how you'd like to progress with that project over the next year or two? It would seem that perhaps you would be looking for offtake partners first or some sort of strategic partner there and then going through a loan process for perhaps an FID at the end of the decade?
Keith Phillips: Yeah, David. That's a great question. Ultimately, a lot of it is based on the market and when the recovery happens, we're highly confident -- the recovery is coming. We don't have great confidence in the timing of it. But I think fundamentally with so many projects being deferred and many probably deferred via permanently projects that I would characterize as marginal, not our projects, but some other projects. I think at some point, there's just going to be not enough lithium to meet the demand that continues to grow. So projects like Carolina are going to be needed. I think you're right. Our number one priority at Carolina right now, we've done an immense amount of work on engineering. The project's very advanced. DFS obviously was completed a long time ago, but we've invested a lot of money since then in more detailed engineering. And we've given a lot of thought to different financial structures. At the end of the day, the best way to advance the project, we think, is with a partner and not just an offtake partner, but really a partner who could bring, there's really three things a partner could bring. They could be an off-taker, which is really sort of the easy part. Everybody wants U.S. lithium, so finding customers isn't that challenging. They can bring capital, which limits the group a little bit, and ideally, they could bring operating capability. So we think of Carolina as an integrated project. The spodumene mining and concentrate operation is relatively straightforward to execute. We've seen with other larger companies, struggles to execute on the downstream hydroxide front. So whether or not we think we can build a team to do that on our own, that's a less credible strategy today in the market than it was a few years ago just given the struggles of Albemarle in Western Australia, [indiscernible] in Western Australia, and others. So we're in conversations with people, and these conversations have been going on for some time. But the ideal partner in my mind is somebody who brings capital, who brings expertise that limits the group further. And of course, that's a party that would probably, want their share of the uptake. So that's priority one. That sort of party can bring capital in early to help do more work on the, rezoning front and on the detailed engineering front and really help execute this project and bring it forth through the ATVM loan process and everything else. So we're here toward the tail end of 2024. I would certainly hope we could get to FID, well before the end of the decade. But it's hard to put a detailed timeline on it.
David Deckelbaum: I appreciate that, Keith. And perhaps just as we go into next year and you guys have rationalized the budget for '24 considerably, it seems like there are some catalysts ahead in the first half of '25 as it relates to Ewoyaa. You guys are looking at some financing strategies there as well. But it would seem holistically that the capital requirements for Piedmont at the corporate level are quite minimal in ‘25. Is that a fair assessment?
Keith Phillips: Yeah. I mean, you used the word capital, but I think from a burn rate perspective, our burn rate given the significant, overhead and staffing reductions, and other cost reductions Michael has indicated, our burn rate has declined significantly. Capital is all about, when you deploy it. And if the market remains, muted like this, then I think Ewoyaa unfortunately will be -- we're going to wait for a better market as well. I think that's a view Atlantic shares quite clearly at this stage as well. So in that case, capital requirements will be quite modest. One thing, I'd mention at Ewoyaa, we've independently been looking at our financing options for our share of capital. Atlantic has been doing the same. I think there's been some good conversation between the two parties. Really the best way to fund that project is probably to work on the funding together and to bring a debt package together at the kind of the operating company level. It could be underwritten by someone like the DFC in Washington or someone else. So those discussions are kind of advancing internally. And I think, in an ideal world, we'll bring a really strong financing package into the project so that the capital and equity requirements of each of the partners are minimized significantly. That's something we'll be working on over the course of 2025.
David Deckelbaum: Thanks for the details, guys.
Keith Phillips: Thanks, David.
Operator: And your next question comes from the line of Tyler DiMatteo with BTIG. Your line is open.
Tyler DiMatteo: Yeah. Hi, guys. Good morning. Thanks for taking the questions. Keith, I wanted to follow-up, on the ideal partner comments there. You kind of laid out the three things that you could be looking for. I'm curious, though, in terms of the in-house versus external for the conversion aspect of things. I guess, how quickly does the decision like that need to be made? And then what does the integration look like if you're going to work with a partner in particular to your comments surrounding some of the challenges related to conversion in particular?
Keith Phillips: Yeah. Listen there are – there is a group of companies who have demonstrated expertise in Lithium chemical production. A number of those are Chinese for a variety of reasons, not viable partners, obviously. But there are a number that are not Chinese, and we know them all, and we've got had discussions ongoing with each of them. Everybody, as you might imagine I mean, Carolina Lithium is a bit of a unicorn. It's one of two significant spodumene ore bodies in the U.S., Kings Mountain and Albemarle's project being the other. So if you're a major player in the business in the battery supply chain somewhere and you want them, and you're interested in spodumene as a feedstock, given its kind of low risk characteristics, and you think being in the U.S. is a good idea, which just about everybody does, Carolina is sort of at pretty high on the list. So we've had good conversations with a lot of people. I think it'd be pretty easy to bring a partner in, and there's interest. It's -- you're juggling a lot of things in terms of, are you bringing in a 50-50 joint venture partner? Are you -- who's going to be the operator at the one extreme? Are you bringing in somebody who's more of a 20% partner really bringing more capital? How do they think about value at the trough versus how might they have thought of a value two years ago or a year from now? So these are things you've had to balance. And from our perspective, Caroline Lithium, this spodumene isn't going anywhere to massively valuable project from an intrinsic value perspective. It's really important for us to protect shareholder value on that project and not do a bad partnering deal. So, interest is strong. We'll continue the conversations. I think integrating, partnering to the project will be pretty straightforward. And of course, when you bring in a partner who has capability and capital, they're going to have a point of view on certain things, and they're going to want to take a fresh look at a variety of things in our engineering plans, and that's healthy. And, that's something that to some extent has been going on already. So that's good. We do I think as we've messaged before, we do continue to tweak things like, with the right size of chemical plant, 30,000 tons or 25,000 tons with the Metro autotech process ((ph). The original 30,000 ton plan, contemplated 215,000 ton autoclaves. Our team has, after doing a lot of work subsequent to the DFS, decided it's probably a lot more capital efficient to have 125,000 ton autoclave and have a 25,000 ton plant. You can't you can't build a 30 -- there aren't 30,000 ton autoclaves available. So details like that are important, should have positive impact on economics, but those things will all be worked out in due course.
Tyler DiMatteo: Right. Okay. Great. And then just in terms of the utilization and recovery rates, you've seen a nice ramp at NAL. I'm curious, where you see opportunity today to maybe even improve that further or are we kind of at the peak here? Maybe just how do you kind of think about balancing that versus to some of your comments surrounding customer requirements and maybe some of that can be a little bit lumpy? Just curious how you kind of see that opportunity set for just maintaining the asset there?
Keith Phillips: Yeah. No, good question. Listen, the team on the ground at NAL is outstanding. They're just doing a fantastic job. I think the mill plant, the crush -- the mill in particular is working kind of at a run rate level. We're still working through some of the challenges in the pit where we're mining on top of old underground workings from 60, 70 years ago. So mining costs are elevated still. They will be for another year or so probably. There's an opportunity to bring the mining component of the cost down probably 15% or 20% once we're through that in 2026. So that's out there in the future a little bit. And then the real opportunity at NAL, and this is important and we hadn't talked about it a lot, but the mineral resource estimate increased significantly this quarter. Drilling is still ongoing at NAL. This is money that flow through funding, drilling funding that Sayona had raised. So they're funding that work. It will be done by the end of the year. I think you'll probably see another resource and reserve update in 2025. And then you're going to be looking at a project with, decades of mine life. And the obvious question is, is the right thing to have a 40 or 50 year mine life or is the right thing to double production and maximize cash flow that way. So early days kicking that around, but I think the brownfield expansion opportunity there is really exciting and it should be, the brownfield expansion of say doubling production would be probably the lowest CapEx per ton project in Quebec. It's in by far the best location in Quebec. You'd see real benefits from kind of shared infrastructure on-site relative to kind of a separate standalone greenfield project. So that gets to be very exciting, but that's next generation stuff, but it certainly could -- it certainly as you think about our timeline for development with, Ewoyaa in the relatively near term, Carolina, Clifton in the medium term, Brownfield expansion at NAL could kind of fit in there very nicely. So that's something, we are beginning to talk to Sayona about.
Tyler DiMatteo: Great. Thanks for the color, Keith. Appreciate the time this morning.
Keith Phillips: Thanks, Tyler.
Operator: And your next question comes from the line of Greg Jones with BMO Capital Markets. Your line is open.
Greg Jones: Hi. Good morning, Keith and team. First question I had was related to shipment timing. Understand the commentary around what might transpire into Q1 next year, but how should we think about timing of remaining shipments in 2025? You've got obviously the baseline of 113,000 tons or 50%, maybe 20,000 tons rolling into Q1, do you expect the subsequent quarters to be relatively consistent or more aligned with how shipments transpired this year?
Keith Phillips: Yeah. Greg, it's a great question, and we have some information on that. We haven't shared kind of guidance. I think when we shared guidance on 2025, kind of at the end of Q1 or February, March, whenever we do that, I think, we'll do the best we can to provide some quarterly sequencing, but it's just lumpy for a variety of reasons. I mean, every now and then we have a customer -- a contract customer who says, really, I don't really need the material this month. Can I get it in June or whatever? And we have those conversations and they generally protect us on price so we're not disadvantaged and that ends up becoming a spot shipment. So there's things like that could happen. And then increasingly just in this low price environment, working with our friends at Sayona in a really minimize transport cost. I mean transport costs are an item that when we started producing 18 months ago, people didn't focus on much. When the sponsor meet prices 3,000 or 4,000 or 5,000, $50 or a $100 here or there on transport costs, it's kind of a rounding error. In today's market, it's the difference between a positive margin and a negative margin. So every dollar counts. And if you can ship a 25,000 or 30,000 ton shipment versus a 12,000 or 14,000 ton shipment, it's $50 or $60 a ton less, to do that. So it's something we're focused on, and that's why this other December shipment might push. I'd like it to push. So it's hard to -- so, unfortunately, revenue, I think, will be lumpy. I think we do expect, as Michael indicated, I mean, we have -- to the extent we have a 113,000 tons sort of due in 2025 and we defer a couple of 2024 shipments, then we should have higher shipments in 2025 than the 113,000 tons. I think that's understood and it's fair to model. I think Q1 will be pretty heavy based on what we've discussed. But Q4 of this year, the next quarter, it'll be a record quarter for us. It'll be the biggest quarter -- it should be the biggest quarter for shipments even with these delays. And then in terms of the balance of 2025, it's just always a little bit of a balancing act between our desires and need requirements and the joint ventures, and being fair to each group in terms of the timeliness and everything else. So, we'll see how that works out?
Greg Jones: Great. Thanks.
Michael White: This is Michael. As a follow-up to Keith's comments, one of the things that we experienced in 2024 was the hockey stick view of shipments and that was due to the ramp up at NAL. Now that we are moving out of that ramp up and we're going to have a full year of production as well as the tons that are going to be accretive from Q4 into Q1 of next year. Even though, as Keith mentioned, it's going to be lumpy, we're not looking at quite that hockey stick that we had forecasted and experienced in 2024. So while lumpy, it'll still be a little bit more balanced than what you saw this year.
Greg Jones: Thank you. Just a question on the cost side. So in the release this morning, it mentions that operating costs at NAL were about $729 a ton ex-inventory movements, and Sayona had disclosed costs around $894 in its release a few weeks ago. How should we think about, the true cash costs at the operations and how the inventory adjustments are blended into those two numbers?
Keith Phillips: Yeah. Greg, I'll take a first crack at it. Listen, I think Sayona had a couple disclosures. They do disclose the kind of GAAP number or IFRS number that includes inventory adjustments. And with any ramp up, you have a lot of high cost material kind of working its way through the process, until you kind of get to a run rate. And we're sort of that run rate in the mill, but that material will continue to run through for a little while. They did, volunteer that AUD10.89 or whatever the number was, cash cost ex-inventory, that's been, they've quoted that. It's been quoted in some research reports over in Australia. So that's the real, we think, true operating cash cost number now, which is, we hope to do better, but it's significantly lower than prior quarters. And I think it and that still embeds relatively high mining costs, which should see some improvement there. So we're feeling good about it. I mean, it's a -- it's approaching kind of the DFS levels and I think you should sort of from a cash cut perspective, if you're just modeling cash, I think it's as good a starting point as any going forward.
Greg Jones: Okay. Thank you.
Keith Phillips: Thank you.
Operator: And your next question comes from the line of Bill Peterson with JPMorgan. Your line is open.
Bennett Moore: Good morning, Keith and team. This is Bennett on for Bill. Looking, beyond Q4, could you remind us your expectations in regards to kind of the share of spot versus long-term contract shipments? And in 3Q, how much did this contribute to relative pricing strength relative to the comment on hedging?
Michael White: Keith, do you want me to take that?
Keith Phillips: Yeah. Sure.
Michael White: All right. Thanks for the question. So from a spot versus long-term customer contract perspective, we normally do not break out the shipments, between each. But in Q3, we did have spot shipments. And on those shipments, we're able to take positions with our trading partner as well as on other future shipments and take the benefit of hedging, which our joint -- which our partner takes. We do not enter into contracts for hedging, but we're able to take advantage of the contango through a fixed price arrangement. And so, we've been seeing the benefit of that. As we go into 2025, we are going to see primarily shipments to our long term customer contracts. But having that strong trading partner gives us the flexibility that if we do need to pivot because potentially a customer may need to shift a delivery into a future quarter, but yet we are ready to take that offtake and make a sale, that we can shift to a spot if we need to. But as we look into 2025, we're looking primarily at long term customer contract sales.
Bennett Moore: All right. Thanks for that color. And then, if I could, on Carolina, do you see any barriers to gaining the necessary air and water permits? What has the feedback been with agencies so far? And I guess what are your rough expectations around timing for these?
Keith Phillips: No. I think those are in progress. It's been a -- it's taken longer on the air and water side than we expected, but I think it's going well. I think our expectation is first half 2025. We honestly still need to go through the rezoning process, the local rezoning process, which is critical. We're currently thinking we're going to begin that once we have the other permits behind us and ideally once we have a partner in place, which I think would be -- could have added that whole process as well as to the ATVM loan process. So 2025, I think, will be a year where we really try to bring all that together, and to move forward from there.
Bennett Moore: Great. Thank you for the color and best of luck.
Keith Phillips: Thanks, Greg (ph).
Operator: [Operator Instructions] Our next question comes from the line of Matthew Key with B. Riley Securities. Your line is open. And Matthew, your line may be muted on your side if you would like to check. Your line is open.
Matthew Key: Hey, yes. Sorry, I was on mute. Thanks for taking my question Keith and team. You mentioned that you engaged with some financial advisors to fund the Ghana CapEx. Just at a high level, what financing package do you think makes the most sense in the current market? And also, what do you expect the timing of that to be given that we're in a depressed pricing environment for spodumene? I imagine you guys aren't in a huge rush to develop that asset kind of in the current market.
Keith Phillips: Yeah. No. Good question, Matt. Yeah. We do have an advisor retained. They're doing a great job. We've had broad outreach. The focus has been on offtake financing. So that's a project that will produce 180,000 tons a year for our account, 360,000 tons a year of spodumene concentrate. So it's a big project. We get half the material. That material has great value to a lot of customers, car companies, battery companies, users, conversion plans, etc. And many of those customers are happy to provide project funding essentially in order to secure that offtake. So that's the real conversation we've been having and it's been going well. Yeah. At the same time, given markets, the projects just going to move more slowly. So there's less urgency to put that in place. As people -- as offtake partners think about offtake funding, they're really trying to lock in specific deliveries. So when we started these discussions several months ago, the idea of production in 2026 or ‘27 was something they could line up. We're now probably later than that. So that complicates the process a little bit, which is fine. Atlantic, as you may know, has announced they have their own -- very similar process going on. They've been talking to similar people, and there's a lot of interest. I think what we've both decided jointly is really, if we're going to take more time to develop the project anyway as we wait for the market to recover, the best thing to do, because these offtake financing, it's effectively debt. People are loaning us money to build something. We pay it back through shipping the material over time. The best form of debt, the lowest cost form of debt would be something at the project level where someone could secure the asset. Ideal form of debt might be something with the U.S. government flag over it like Development Finance Corp Financing, which others have used in Africa. We've had conversations with that group. They're varying. The project is sort of a poster child. It's a clean energy project in a friendly developing country like Ghana. It's sort of perfect. And you could see the project funded 65% plus or minus through a loan like that which could be really accretive to both of us. We could still then raise some -- do some offtake funding on our own balance sheet and really minimize our equity spend on that project quite dramatically. The other thing I'd say is, we're waiting on parliamentary ratification of our mining lease in Ghana. There's an election there this year as well. It's in December. That's delayed that process, but we expect to get the ratification in the first half. And that ratification is the trigger for a $28 million investment by the Sovereign Wealth Fund in Ghana, which would be, welcome money that would come into the project to buy -- they'd be buying a 6% stake and that will be money available to fund capital on an interim basis and part of the capital beyond that. So that's something to look forward to as well.
Matthew Key: Got it. That's super helpful. And just kind of on the final investment decision for Ghana when that occurs, is there a specific spodumene price or certain market conditions that you'd want to see kind of prior to developing that project? Or is it mostly just kind of like a lot of considerations there? But is there a specific price that you think you'd want to have confidence in long term that, you'd be comfortable going forward with?
Keith Phillips: Yeah. It's a good question, Matt. We kicked around some numbers. It's not, bottom line is you want to be able to generate a positive return on investment. And, it's hard to find a spodumene project anywhere in the world where you could generate a positive return on investment at $700 or $800, greenfield project, $700 or $800 spodumene price. So the price I think needs to be meaningfully higher. I think that -- I personally think that inevitably will happen given continued demand growth and increasing pressure on supply. So the time will come and I don't think it's necessarily that far away, but there's no there's no bright line test at this stage.
Matthew Key: Got it. Thanks, Keith. Great job in the quarter.
Keith Phillips: It’s good about the Ewoyaa project just as a highlight is, it's a project the CapEx per ton is relatively low because of its dense medium separation. The construction timeline, the ramp up could be pretty fast. So it's as you think about the projects that are sort of being deferred, this is one where the execution timeline can be pretty quick. The best analogy might be the development of Sigma early on, which was similar ore body, similar processing, relatively low CapEx per ton, relatively fast ramp. They've done a great job down there, so far from what I've seen. And that's a good indication for how this project could advance. So it's we're pretty excited about it.
Matthew Key: Got it. That's great. Thanks, Keith, and good job in the quarter.
Keith Phillips: Thank you.
Operator: And there are no further questions at this time. I will turn the call back over to Erin Sanders.
Erin Sanders: Thank you, operator. That concludes our call today. We thank you for your time and interest in Piedmont Lithium. As a reminder, you can find our earnings release, presentation and a replay of this call on our website, piedmontlithium.com. Thank you.
Operator: This concludes today's conference call. You may now disconnect.